Operator: Hello and welcome to today’s UMB Financial First Quarter 2022 Financial Results Conference Call. My name is Elliot and I will be coordinating your call today. [Operator Instructions] I would now like to hand over to Kay Gregory, Investor Relations. Please go ahead, when you are ready.
Kay Gregory: Good morning and welcome to our first quarter call. Mariner Kemper, President and CEO; and Ram Shankar, CFO, will share a few comments about our results. Jim Rine, CEO of UMB Bank; and Tom Terry, Chief Credit Officer, will also be available for the question-and-answer session. Before we begin, let me remind you that today’s presentation contains forward-looking statements, which are subject to assumptions, risks, and uncertainties. These risks are included in our SEC filings and are summarized on slide 43 of our presentation. Actual results may differ from those set forth in forward-looking statements, which speak only as of today. We undertake no obligation to update them except to the extent required by securities laws. Our presentation materials and press release are available online at investorrelations.umb.com. Now, I’ll turn the call over to Mariner Kemper.
Mariner Kemper: Thank you, Kay and thanks to everyone for joining us today. 2022 is off to a great start. Solid performance in the first quarter included 19.1% linked-quarter annualized growth in average loans. And we posted a $6.5 million provision release, reflecting the quality of our loan portfolio. Additionally, we had strong fee income, combined with expense levels that moderated from the previous quarter. For the first quarter, net income was $106 million or $2.17 per share. Pretax pre-provision income on an FTE basis was $125.7 million or $2.57 per share. First quarter net interest income was relatively flat on a linked-quarter basis. The positive impact from asset growth and balance sheet moves we made was offset by the sale of our factoring portfolio and the continued runoff of PPP balances, along with fewer days in the quarter. Non-interest income for the quarter totaled $123.7 million, an increase of 4.1%, compared to the fourth quarter. Ram will share more detail on the various drivers. But we saw positives across many of our fee businesses, highlighted in the line of business update in our presentation. In the current economic and regulatory environment, there are a few items that position us well from a fee income perspective. First, we don’t rely on mortgage gain on sale income, which is likely to be a drag for some of our peers, heading into a raising rate environment. Second, NSF and OD fees are a very small portion of our deposit service charges and represent well less than 1% of total revenue. And while early, we’ve begun to see a return of 12b-1 fees as interest rates rise. For the full year 2019, brokerage income where those fees are booked, was $31.3 million. As rates fell in subsequent years, that total dropped to just $12.2 million in 2021. A normalization of that income stream is a tailwind for us. Total non-interest expense fell 3.5% on a linked-quarter basis, as some of the higher than typical expenses we discussed in the fourth quarter moderated. Excluding contributions from PPP, we generated positive operating leverage in the first quarter of 2022, a 6.2% on a linked-quarter basis, and 7.8% versus first quarter of last year.  Moving to the balance sheet, Slide 24 is a snapshot of our loan portfolio showing the drivers behind loan growth I mentioned. Average loans for the first quarter excluding PPP balances increased 15.6% year-over-year and more than 19% on a linked-quarter annualized basis. We saw phenomenal growth in C&I balances with balances increasing 35% on a linked-quarter annualized basis. Commercial real estate loan demand is strong, particularly in industrial projects, although developers are closely monitoring the cost of materials and labor. Most of our year-to-date activity and real estate has been in our Salt Lake City, Kansas City, Denver and St. Louis markets. Average residential mortgage balances grew 4.4% from the fourth quarter to just over 2 billion. As I mentioned, we don’t rely heavily on mortgage gain on sale revenue. However, we continue to grow our own portfolio and recently implemented a new Down Payment Assistance program. The program launched in December of 2021 is geared towards underserved markets, and it had 47 new applicants just in the first quarter. Total top-line loan production, as shown on slide 25, was again very strong coming in at $1.1 billion for the quarter. Pay-offs and pay-downs were 5.1% of loans, in line with recent quarters. While estimating pay-off can be unpredictable, we continue to see opportunities across all verticals in the second quarter. Based on what we see now, gross loan production is likely to be stronger than the first quarter. Asset quality as shown on slide 26 and 27 remains strong with net charge-offs 20 basis points for the first quarter, consistent with our outlook and our historical averages. We did see an increase in nonaccruals from the fourth quarter levels, which is largely driven by one relationship. At this time, we feel like we’re in a good position there and expect a favorable resolution in the coming weeks. As we head into the cycle, I look back on prior period and how our credit metrics has performed. The real test of quality comes when conditions are negative. Back to the balance sheet. Strong deposit growth continued in the quarter with average balances increasing nearly 12% on a linked-quarter annualized basis. Despite our strong loan growth, our average loan-to-deposit ratio remains low at just 53% for the first quarter. This provides us with flexibility in a raising rate environment. We have plenty of opportunity to fund growth potential we see in our pipeline. Yesterday, our Board approved a quarterly dividend of $0.37 per share and renewed the standard annual 2 million share repurchase authorization. These remain important in our toolkit for capital deployment in addition to opportunistic M&A. Finally, our latest corporate citizen report has just been published and is available on our website. It highlights our continued efforts and actions related to environmental, social and corporate governance issues. Our strong first quarter results position us well for the rest of the year, and we are encouraged by the activity we’ve seen so far in the second quarter. Now, I’ll turn it over to Ram. Ram?
Ram Shankar: Thank you, Mariner. Net interest income was relatively flat compared to the fourth quarter at $210.4 million. The impact of the $1.2 billion in average earning asset growth was offset by the $4 million reduction in PPP income and fewer days in the quarter. We amortized $1.7 million of PPP origination fees into income and the overall PPP contribution to the first quarter net interest income was just under $2 million compared to $6 million last quarter and $13.4 million in the first quarter of 2021. At quarter-end, our PPP balances stood at $77.2 million, down from $136.5 million at December 31st, approximately $2 million in unamortized fees remain. Average earning asset yields decreased 2 basis points to 2.47% with loan yields impacted by the sale of the factoring book and the $118 million decline in average PPP balances. As shown on slide 21, our Fed account, reverse repo and cash balances moderated slightly and now comprised 18% of average earning assets with a blended yield of 30 basis points compared to 26 basis points in the fourth quarter, as this shows liquidity balances still remain elevated from pre-pandemic levels. The 3% increase in average deposits from the fourth quarter was driven by growth in DDA balances. And the total cost of deposits, including free funds remained at 8 basis points. First quarter net interest margin fell 2 basis points from the fourth quarter to 2.35%, driven largely by changes in loan mix offset by positive impacts from changes in the AFS book, the decline in liquidity levels and number of days in the quarter. We’ve added slide 30 in our deck show the estimated impact to net interest income in various rate scenarios. In a rate ramp scenario of plus 100 basis points on a static balance sheet, net interest income is predicted to rise 1.7% in year one and 7.5% in year two. On the asset side, 56% or about $9.7 billion of average loans are variable rate, and of those 63% repriced within 12 months. They are tied to short-term rates with just under 60% tied to LIBOR. Additionally, the securities portfolio is expected to generate nearly $1 billion of cash flow in the next 12 months available to be reinvested at higher rates. Notwithstanding our strong loan growth, our securities portfolio has continued to grow. And as we indicated in our press release, we transferred securities with a fair value of $2.9 billion from the AFS to HTM book in March to help manage tangible capital and reduce the impact of rising rates on our equity. At March 31st, 34% of our securities portfolio was classified as held to maturity. As expected, the rate environment drove changes in AOCI, which declined by $469 million from year-end. Although fluctuations in AOCI don’t affect earnings, we’re mindful of the impact on tangible book value and we’ll continue to evaluate potential opportunities to mitigate that impact. As you’ve heard us say before, we run our business by focusing on regulatory capital ratios, which remain strong with total risk-based capital at 13.55%, CET1 at 11.81% and leverage ratio at 7.53%. Back to the income statement. Noninterest income for the first quarter was $123.7 million, an increase of $4.9 million from the fourth quarter. Deposit service charges increased $3 million and included a $3.5 million increase in client transfer and conversion fees in our healthcare business. As Mariner mentioned, NSF/OD fees included in this line represent less than 1% of our total revenue and came in at just $1.4 million for the first quarter. Derivative income increased $1.9 million from the prior quarter and company-owned life insurance income increased $823,000 on a linked-quarter basis. Both are included in the other income line and the COLI income has a similar offset in deferred compensation expense. Other drivers to fee income, including the $2.4 million gain on the sale of our factoring business and reduced investment security gains are shown on slide 22. Non-interest expense trends are shown on slide 23. The $7.7 million linked-quarter decrease was driven by reductions from the elevated fourth quarter levels in variable costs such as incentive compensation and lower legal consulting and marketing costs. These were partially offset by the typical seasonal reset of payroll taxes, the increased deferred compensation I mentioned and higher bank card expense. Our effective tax rate was 15.7% for the first quarter. For the full year 2022, we anticipate it will approximate 17% to 19%. That concludes our prepared remarks. And I’ll turn it back to the operator to begin the Q&A portion of the call.
Operator: [Operator Instructions] Our first question today comes from Jared Shaw from Wells Fargo. Your line is open.
Timur Braziler: Hi. Good morning. This is Timur Braziler filling in for Jared. Maybe just starting on the funding outlook. So clearly, with the 53% loan-to-deposit ratio, you guys have options. I’m just wondering as you look at the loan pipeline and the optimism that remains there, how are you thinking about funding that growth in a rising rate environment? Are you going to primarily keep utilizing cash to help fund that growth, maybe utilize some of those securities cash flows, or the expectation that period end or end of period deposit balances ramp higher as the year goes on?
Mariner Kemper: Yes. Thanks for the question. I’d say, we’ve got obviously with the loan-to-deposit ratio and the shortness of our investment book and what we keep at the window, we’ve got lots of flexibility to fund the growth, and we can kind of tap what we need to tap.
Timur Braziler: Okay. And I guess, as you think about the deposit book and rising rates and deposit betas, is that going to be a driver of keeping betas lower for longer? How are you thinking about deposit betas in a rising rate environment?
Mariner Kemper: Ram, you can take that. I mean, high level, we’ve shocked that. We’ve analyzed the seven ways to Sunday. We’re just going to have to monitor it. And a lot of what happens to deposit betas will have to do with what the three or four largest banks do with their deposit rates. And we’ll have to follow. We have some index funds. 25% of them are hard index. And that’s going to do what it’ll do. So, deposit betas are something that we’ll just be monitoring. We have a history of being just around 50% on deposit betas. And we’ll see where all that ends up.
Ram Shankar: Yes. From a modeling perspective Timur, we do assume like a similar deposit beta experience as last time, so. But certainly, given the 53% loan-to-deposit ratio, the securities cash flow, there’s lot more flexibility on the soft index and the non-index deposits for us to be a little bit more disciplined about it. So certainly, that will be part of our thinking for ‘22 and ‘23.
Timur Braziler: And then, Ram, I saw in the deck that the reinvestment yields in the first quarter were still kind of high 1%. I’m just wondering, what are you seeing today for reinvestment out of the bond book?
Ram Shankar: Yes. It’s about 70 basis points higher than where the roll-off are going to be. So if you look at our one of our slides, for the next 12 months, we expect roll-offs to be under 2%. And based on where the two-year and the five-year are today, our yields are closer to 265 to 270. So, there’s a nice pick up assuming this stays the way it is.
Timur Braziler: Okay. And then, just last for me. Nice to see continued line usage ticking up in the commercial book. I’m just wondering, is there any particular industries that you’re seeing incremental optimism, or much of that line usage coming from? And are we pretty close to level of stability there, is the expectation that line utilization continues to ramp higher through the year?
Mariner Kemper: We’ve got Tom Terry with us. Let’s Tom take that.
Tom Terry: Yes. It’s a good question. The utilization really has been across the board. Our C&I business has been very strong. So, there is not one particular industry to look at.
Operator: We now turn to Nathan Race from Piper Sandler.
Nathan Race: Question just on the rate sensitivity. I appreciate the disclosures on slide 30. And I think Mariner just mentioned that about 25% of the deposit base is hard or soft index. I believe, Ram, you threw out a number of close to 30% a quarter or two ago. So just want to confirm that. And if the 100% beta on those deposits is contemplated in the interest rate sensitivity, NII increase that you guys disclosed on slide 30?
Ram Shankar: Yes. So, the hard index Mariner mentioned, is about 28%. There’s another 7% that’s soft indexed. So, the hard index one is formulaic. And it’s not a 100% beta. It doesn’t mean that for every 25 basis points, the client gets 25%. It could be anywhere from 50% to 80% of that. So, it’s not always 100% beta. The 7% -- the soft index is where we have a lot of flexibility. We do it on a case by case basis as opposed to adjusting market rates. And that is contemplated in our projections on slide 30.
Nathan Race: And then, just thinking about the securities portfolio balance on an absolute basis. We had some growth in this quarter. So just curious what the appetite is to continue to grow the securities book on a absolute dollar basis from here going forward versus maybe just allowing the cash that’s on the balance sheet just to reprice higher as the Fed rate -- increases rates?
Ram Shankar: Yes. Our hope and strategy is to continue to increase the size of our securities book. So, what is understated in the period-end balances for investment securities, as I talked about in my prepared comments, is we had about $450 million of market value decline, because of what happened with rate. So, each month we talk about -- in our asset liability committee about reinvesting cash flows based on the current conditions and last few months, and we’ll probably continue this. We’ll also do some overbuy with expected cash flows, either from deposit flows, or just the cash on balance sheet.
Mariner Kemper: And we’re keeping it pretty short. So, that’s the other part of that.
Ram Shankar: And yes, if you look at our AFS portfolio, the duration -- swap adjusted duration is 52 months. The nice thing in the last 90 days is the two-year part of the curve has, as you see, increased about 150 basis points. So, we’re keeping some of our cash flows, 40% of our cash flows invested on the two-year part of the curve, two to three-year part of the curve. So, we’re managing duration in a context of extension risk that’s -- that’s going to happen to all of us, given where rates are headed.
Mariner Kemper: And I did mention in my prepared remarks, also the second quarter loan growth, loan -- the pipeline looks even stronger than the first quarter. So, that’ll top up some of that also.
Nathan Race: Got it. Just maybe turning to fees, just maybe first one, clarifying question, the $3 million in healthcare solutions conversion costs, is that more kind of one-time in nature? Is that more of a seasonal item that impacts one-time results each quarter?
Jim Rine: Yes. Nate, this is Jim Rine. That is a onetime event, and we don’t anticipate that -- that’s happened this year and last year. We don’t anticipate that happening again going forward in any material amount.
Mariner Kemper: It’s the tail end of a couple of -- relationships that we talked about in previous quarters, moving off our companies that we partner with that really decided to do the business for themselves. And as that has -- it’s the tail end of that behind us. And so, the growth of them -- talking about the growth…
Jim Rine: Yes. The growth on the book, that was by design that those were going to go away. On the book that we have, the growth has been 12% year-over-year, and the card spend has been up 8% year-over-year as well, without those relationships.
Mariner Kemper: That’s more of the forward-looking trajectory of the business versus what was left from those two relationships.
Nathan Race: Understood, very helpful. Also on fees, as we look out over the next few quarters, curious where you guys see a lot of the growth opportunities. Obviously, fund services and the corporate trust and institutional asset management remain bright spots across the various fee income lines. So, just curious if you expect those two lines in particular to be kind of primary drivers for overall fee income growth this quarter -- or I’m sorry, going forward?
Ram Shankar: Yes. That’s -- those are areas we are very excited about. The backdrop for continued expansion and growth continue to be great for both of those specific businesses you brought, corporate trust and fund services. And the comments that I’ve been making in the past would be similar and so I’m about to make, which is the backdrop for fund services, in particular, are twofold. One, what’s happened in the public markets has really driven a lot of success in the private markets. And our business is really heavily weighted towards being a fund services provider for the private equity, hedge fund, REIT, real estate, markets where there is an enormous amount of strength from an investor community perspective. We’re positioned very well in that space as one of the leaders. And the second piece is with the disruption, the activity from private equity firms in the space has created a lot of disruption in the sector. And that has created an outsized opportunity for us within the space. And so, that continues to be the case. We’re very excited. You see the numbers. On a linked-quarter basis, the numbers are downside. That’s just market activity. Number of accounts is up. And we continue to really -- on a year-over-year basis, it’s about a little over $100 billion in assets under administration. So, trends continue to be great there. Corporate trust is a fantastic story, a bit of a latent earnings story. We continue to see the activity. But as we talked about 12b-1 fees and also the eventual accelerated spending from state and federal government as we talk about building bridges, highways, sewer districts et cetera, on a national basis, we stand poised to be the main player. Certainly, in our footprint and with our offices in New York and Dallas, we continue to pick up now share on -- in the coastal markets where the dollar volumes are larger. So, we played heavily for years as number 3 player on a number of issues. But we’re now number 3 on volume because we’re playing in the coastal space where the deals are larger. So, if you take a water district deal in Illinois or Iowa or something, that’s going to be a couple of hundred million. You do a water district deal in New York and talking billions. So, that’s the trend in that business, along with our aviation business, which has been sliding sideways because of the pandemic, and we’re starting to see that unleash as people are traveling again, transactions are picking up again. And so, we’re super excited about what’s going on in both of those businesses. I’d say, all the institutional businesses have great profiles right now across the board. Our -- as Jim just mentioned, what the trends are now for our health care business, those are nice go-forward trends. The investor solutions business, as all of our clients grow their clients, we grow our business. And then, what isn’t institutional, which is our wealth business, we’ve seen really good trends for new business in wealth. So, we’re pretty pumped about the trends for all of our fee businesses and excited about what lies ahead. I don’t know if you want to add anything, Jim.
Jim Rine: I would just add, fund services, there is a crossover to the commercial division with the liquidity lines we provide for those funds. So, commercial has been able to provide referrals over to fund services. Additionally, in the more traditional lines, integrated payables is one of the -- really one of the best ways we can increase commercial fee income too. That has been a great product for us, producing 7-figure fees for first quarter as far as with the tail to them and the backlog is very strong. So...
Ram Shankar: Coupled with commercial card.
Jim Rine: Exactly, with card spend, which is in your deck, which has been -- as well.
Nathan Race: That’s great color. If I could just ask one more on investor solutions in particular. I noticed that you guys written that in the deck banking-as-a-service solution. So, I’m not sure if that implies kind of any shift in your strategy within that line or kind of how you guys are thinking about the opportunities. Obviously, it’s a term we hear increasingly among banks these days. They want to provide more depository services on the like to nonbank entities. So, I was just curious if there is kind of an update along those lines and kind of how you think about the opportunities going forward within that in particular?
Mariner Kemper: Well, I’m not sure -- yes, I’m not sure exactly. I mean banking-as-a-service is what that business is. I mean, that’s what we’ve been doing. So, it’s just providing -- so the historical part of that business has been wirehouses, brokerage firms. And that’s the mature part of the business. And we have seen a lot of growth, as you see in our deck, with some of the fintechs that are wanting to provide banking services for their customers. We are a premier provider for them as well to white label, our banking products to and through their customers as well. I don’t know if that answers your question, but that is the business is white labeling our banking products for broker dealers, wirehouses and fintechs.
Nathan Race: Right. No, I understand that. The approach to that business isn’t really changeable. I’m not sure if there’s any kind of shift in strategy going forward in terms of maybe working with some other entities outside the historical wirehouses and fintechs historically, but I appreciate that color, Mariner.
Mariner Kemper: Yes. No, I think that’s the path. I mean, the new path is the fintechs. So, as they create new ideas, the new companies come up through the pipeline that we would be ready. As kind of a premier provider in the space, we’re a go-to player for folks with new ideas.
Ram Shankar: We’ve continued to build out APIs to make it easier to access our systems. But as far as the shift in strategy, we have not shifted that strategy.
Operator: Our next question comes from Chris McGratty from KBW.
Chris McGratty: Ram, I want to make sure I got the color on the 12b-1 fees. Could you just repeat the -- I think you said it was $12 million last year. Can you remember -- remind us whether it was precut? And also, how we should just be thinking about the correlation between revenues and rates? Thanks.
Ram Shankar: Yes. So, in 2019, before the Fed cut rates by 150 points on the onset of COVID, our run rate for that line item was $31 million. So, $31 million dropped to $12 million. And the point that we also make is, back in 2019, the $31 million was based on a book that was significantly smaller than what it is today. So, the potential for revenue with interest rates being hiked the way they are is pretty significant on that line item for us. And we haven’t given specifics about the beta on that. There is a lag usually, typically between when the rate goes up and when we get to see the benefit of that. But it should be a nice tailwind for us to hit in 2023 and 2024, if the future rates are where we’re going to be.
Mariner Kemper: And rates have been rising sooner than we anticipated. So, that lags shorter, so. But I would also just add, as Ram mentioned, related to the old book and the new book of business. One example, a pretty decent size example would be that back in ‘19 our aviation trust business would have been very nascent. And so, the business -- that is one particular example. You’ve got all the growth we’ve had in aviation trust and will have an aviation trust, corporate trust that will benefit from 12b-1 fees.
Chris McGratty: Okay. And -- so, would those revenues pick up this year, if you believe the forward curve? Is that -- and then where exactly in the fee income line would that be?
Ram Shankar: It will be the brokerage and insurance line, and we expect to see some benefits starting the second quarter based on what transpired in March.
Chris McGratty: The other question I had relates to the indexed deposits that you referenced, the 20 -- kind of heard index. Could you just remind us where -- certainly, you don’t need the deposits from a liquidity perspective. Can you just remind us where the other benefits to having these deposits lie? Like, where else in the full relationship do you realize the benefit for these higher beta deposits?
Mariner Kemper: Well, I mean -- so I mean, broadly speaking, obviously, deposits are raw material, and we’re willing to take the pain and pressure for building our business for the long term. I think, you’re asking specifically about some of the hard indexed money and why we take it. And that would be like, for example, that would be an example would be a government -- piece of government business that would come with treasury, would come with lockbox, would come with bond issuance opportunities, et cetera. So, you can’t look at it at our deposits in a singular vertical. You got to look at the overall profitability. And we do that, right? So, we’ll move off something if the overall profitability isn’t good. But we’ll take on some index or higher beta deposits because of the overall relationship that comes with lending, treasury, bond issuance fees, et cetera.
Chris McGratty: Yes. That’s what I was looking for.
Mariner Kemper: Yes, car service income. You name it.
Chris McGratty: Okay. I guess, the final question I had would be we’ve seen so much liquidity flow into the system, and we’re all -- as analysts trying to figure out what will stay and what will not. Are there any pockets of your deposit base that you’re particularly worried about given the growth over the last 24 months?
Mariner Kemper: Sorry. We have a little technical -- can you repeat that?
Chris McGratty: Yes, no problem. I guess, the risk of deposit, parked money from -- with the Fed unwinding the balance sheet. Your deposit growth has been great as of a lot of banks. I’m just wondering if you’ve done any analysis to say, hey, is there any more chunky deposits that might be at risk of flight.
Mariner Kemper: I mean, we -- if you look at the pre- and post-pandemic volumes, we are up about $4.5 billion. We debate internally a lot, how much of that $4.5 billion is excess and how much of that is based on new customer growth, customer success, et cetera, just the growth of our business. And we all have different answers to that internally. And I think what you’re describing is really that dialogue, the whole country is having about what -- how much of this is excess liquidity. I’m not sure that we want to claim to be any experts on that. We’re watching it closely. Ram, do you want to add to that?
Ram Shankar: Yes. No, we do alternative scenarios on the interest rate modeling for precisely that surge deposits, right? So, if you just go back to history, during the last rate cycle, just before the Fed started cutting rates, our DDA balances were like close to 43% of our total deposits and what happened as the cycle transpired was it came down to 35%, right? So, we are assuming some kind of disintermediation from DDAs to money market or other types of deposits. So, that’s all built into our alternative scenario beta assumptions. So, we do expect some of that to transpire where our DDAs are not going to be always at 45% because of the interest rate cycles.
Mariner Kemper: But where that lands…
Ram Shankar: Where that land is anybody’s guess, and where the DARP [ph] lies.
Mariner Kemper: There is -- I mean, the good news for us is sitting at 50% loan-to-deposit ratio is whether $1 billion goes into other products or off-balance sheet or $2 billion, we still have an enormous amount of room to run up loan growth and feel very safe and sound about our liquidity and our loan-to-deposit ratio.
Operator: [Operator Instructions] We now turn to David Long from Raymond James.
David Long: Good morning, everyone. I wanted to dig a little deeper into the drivers on your C&I growth, and your expectations and your pipeline there. Is it driven by the PPP relationships that you gain? Is it just traditional market share gains, obviously utilization? Have you been hiring veteran bankers within your footprint? Can you just talk about how some of those are impacting that growth and what really the core drivers are?
Jim Rine: Well, this is Jim Rine. It’s a really been the same story, we’ve been telling the last several quarters, and it’s been the market penetration. It’s coming really from all regions. And we are under penetrated in every market, except Kansas City. And markets whether it be, St. Louis, Dallas, Phoenix, Colorado, there hasn’t been one particular industry. We are hiring the right talent. They are calling on the right types of companies. Said before, we have a compelling story. We are able to turn things around quickly. We are competitive on rates, et cetera, et cetera. So, it’s -- we target the right types of companies that we want to do business with. And then, we’re able to retain the top talent that we need in order to handle clients to grow the business. So, it’s been our formula and it’s been really what’s made us successful for many years.
Mariner Kemper: You can’t turn on C&I overnight. So, when your mortgage business dries up and you want to turn on your C&I business, which some talk about, it doesn’t happen overnight, unless you’re taking on stuff you shouldn’t be taking on. So, it’s just -- it’s a long, long calling cycle with people that have been around a long time, takes -- we’ve been building this business for 109 years and the pipeline is built as such. So, it takes a lot of things to get to where we are.
Jim Rine: But we’re not doing things we haven’t done. We’re doing more of what we do, so.
Mariner Kemper: Yes. Couple of areas, I think, that are benefiting right now, the energy sector is pretty strong. And so, we’ve had some nice benefit in the energy sector. There’s a nice rebound in agribusiness with commodity prices. And so, we’re seeing some nice activity there. Industrial on the CRE side continues to be very strong. Companies build inventories on a national basis for same-day, last-mile distribution. And there’s -- depending on the market, particularly in our marketplace, which is in Mountain Midwest, there’s a shortage of housing. So, the multifamily continues to be strong. So, while Jim says, it’s across all areas, those are some areas that are outperforming and see some pretty strong directional trends.
David Long: Got it. No, that’s appreciated. Good color. And then, the -- on the competitive side, how is the competition impacting spreads in the commercial side of the business?
Mariner Kemper: It’s always robust. And I don’t know if there’s anything else to say. It’s always -- we go after the best business out there, and everybody wants the best business, and it’s always competitive.
Jim Rine: So, the pricing is always competitive in this rising rate environment, people are willing to lock things in for a longer periods of time. And so, we’re doing what we’re comfortable with. But, when you see a 10-year, the request for the 10-year fixed rates, we would want to have those swaps versus fixing those on balance sheet. And so, you see some people stretching right now, and we’re not willing to do that. But, outside of a few folks reaching, it’s as competitive as it’s ever been.
Mariner Kemper: You might see some continued back-to-back swap income for us over the next handful of quarters grow because of what Jim just mentioned, which is as customers look to lock rates, we’ll be increasing our swap fees.
David Long: Got it. Thanks, guys. I appreciate you taking my questions.
Mariner Kemper: I might just add, on slide 21, for those of you who are interested in this excess liquidity, and we talked about that. I think that we have a slide in the bottom right quadrant of slide 21 in our deck. I’d point to you there. It’s a really -- it’s a new little chart we put in place. It’s very helpful, I think, to thinking about what’s happened to excess liquidity and where you find it on our balance sheet and likely others’ balance sheets. I’d point you there.
Operator: We have a follow-up question from Nathan Race from Piper Sandler.
Nathan Race: Just curious on how we should think about the trajectory of the reserve? It doesn’t sound like charge-offs are likely to deviate from the historical ranges that you guys have talked about in the past. So, just I’m curious if we can expect the reserve to kind of hold around 1% over the next few quarters, or do you guys expect to build just given at least high-single-digit loan growth expectations going forward?
Mariner Kemper: Thanks. That’s a great question. It’s another one of those sort of million-dollar questions. Right now, I think if you think about all of us staring at this uncertain forward-looking environment, whether it’s recessionary or not or how deep the recession might be, et cetera. I’ll do a little bit of a soapbox here for us. A guy who’s been a CEO for 18 years and watched this happen a few times, it seems as though pre-CECL, we all, as an industry, seem to draw down our reserves towards the end of the cycle, so that we had less reserves at the end of the cycle, which is always a big mistake and has been a historic repeated deal for our industry. We have always pushed against that. And CECL has caused that to be a lot more of an algorithm, a lot less optionality to how it works. And we’ve got to be -- it’s very math-driven based on, in our case, Moody’s. So, what Moody’s said is a big part of their forward-looking projections has a lot to do with how we have to set our reserves. I am kind of concerned at the industry level that you hear a lot of banks bragging about what their charge-off rates are. And I’m not sure it’s much to brag about when everything is perfect. That’s your charge-off rates are perfect. It’s really what matters about your charge-off rate is what they look like when times tough, not when they’re good. And so, I’m a little concerned at the industry level that we’re seeing it again, that we’re drawing down our reserves. So, that’s a little bit of kind of philosophical statement I’d make just as it relates specifically to us. I -- we are -- I’m concerned about what late this year and next year looks like, as it relates to the economy. I’m not worried about our charge-offs or our performance necessarily. But, I think, the desire would be to hold -- you asked where they should be. My desire would be that they should hold around where they are. And that’s my hope that using CECL now that our friends at Moody’s will also project that there’s slightly higher unemployment and some weaken economic conditions that will allow us to hold our reserve around where it is. So, I don’t know if that’s helpful. We have a lot of boxes when it comes to what our reserves look like. And so, my hope is that our friends at Moody’s do the right things and see the right things, and we can keep our reserves around where they are.
Ram Shankar: Yes. Until that happens, Nate, as you know, a lot of our provision comes for loan growth. So, we see a lot of organic loan growth, and that’s what’s driving our provision expense. But clearly, with the Moody’s variables, economic forecast becoming more and more favorable each subsequent quarter, the pressure on allowance ratio to come down is there, right? So, if you look at what our day 1 CECL allowance was, it was 85 basis points. And I echo what Mariner said, is we get back to 85 basis points, but this is not the right time to get there. But that said, the quantitative part of the model is what it is, right? We use Moody’s forecast, and we have to wait until Moody’s changes their forecast in anticipation of any economic conditions. So, at this point, it’s hard to say. That’s a million-dollar question really.
Mariner Kemper: Yes. The good news about us, though, is we have a very, very long track record of having industry-leading charge-offs, that being low charge-offs, right? So, we don’t expect our performance to be any different than it’s been the last 20 years, regardless of what the environment is.
Nathan Race: Yes. Got it. That’s helpful. And I fully appreciate it’s difficult to predict under the CECL framework, particularly with all the uncertainty that exists out there. Perhaps maybe just one last one on capital. Obviously, TCE came down with the AOCI swing this quarter. So, just curious to get an update just in terms of the buyback appetite. Obviously, the stock has been under pressure over the last few months like a lot of your peers. So, just curious how you guys are thinking about the appetite for buybacks over the near term? And then, also just any update just in terms of what you’re seeing from an acquisition opportunity perspective these days?
Mariner Kemper: Yes. So obviously, capital deployment as a broad statement, the first thing we want to do is invest in our business, so loan growth, hiring people, et cetera. That’s where our money is going to go, making sure our technology is fresh. Second to that would be M&A type activity. And the same comments we’ve always made is that we continue to look for companies that fit both, culturally and then add value that are accretive and add value to what we’re doing long term. And then lastly, you -- we always want to perform well enough to be able to increase our dividend every year. And that is our goal is to be able to have the performance to allow us to continue to be one of the highest performers in the country as it relates to consistency of approach with our dividend. And then lastly, would be by opportunistic buybacks, just keeping an eye on the market. So it’s the last on the list. We’ve demonstrated that we do it. We’ve done it in the past at the right time, and we’ll continue to look at it and see if the -- if all of those other things are not available to us at the time in which we believe the price is right, we will be buyers.
Ram Shankar: Yes. The only thing I’d add is if you look at the period-end share count, we did have 200,000 shares bought back early on in the first quarter. So, to Mariner’s point, we will be opportunistic about buybacks. And then, I’ll just echo my comments from the script, which is even though TCE has gown down, it’s -- what we focus on is more of the risk-based regulatory capital ratios. That’s what we base our capital decisions on. So, that -- even though TCE temporarily might be impacted, based on what’s happening with interest rates, our focus for running the business is primarily the risk-based capital ratios.
Nathan Race: Okay, great. And if I could just actually ask one more on just the expense outlook. It seems like the salary line was seasonally impacted by the payroll impacts and so forth in the first quarter. So just Ram, maybe any thoughts on just directionally how expenses trend into the second quarter and just kind of overall expense growth expectations for 2022?
Ram Shankar: Yes. Without giving specific guidance, so a lot of puts and takes from where our first quarter levels are. Generally, the $214 million that you see is a good jump-off point. Obviously, as you mentioned, there’s a lot of FICA and payroll expenses that spiked in the first quarter, especially with our bonus payments, and so that should moderate a little bit. But then, the first quarter also had two less days -- or one less day compared to the second quarter. So, that should probably go the other way. And then, in April, our normal merit cycle kicks into effect. So, that will have some wage inflation and that salary numbers. But generally speaking, I would say $214 million is a good jump-off point for the remainder of this year.
Operator: Our final question comes from Jared Shaw from Wells Fargo. Please go ahead.
Timur Braziler: Hey, guys. Timur here with two more follow-up questions. Just maybe for, Ram, looking at the kind of the variable rate loans, what portion of that is currently at floors? And can you just give us an update on kind of floor run-offs schedule?
Ram Shankar: Yes. So, of the $10 billion or so of variable loans that we have, we have floors to our -- in consideration to the -- on $1.8 billion of those loans. And then, if the Fed increases by 50 basis points, more than $900 million of it will be in the money. And then 50 basis points later. Most of the book will be in the money on the floor side.
Timur Braziler: Okay, great. And then, last for me, just the tick-up in nonperforming loans, I know it’s called out in the prepared remarks. Can you give us any additional color on loan type or industry? Any additional color would be helpful there. Thank you.
Mariner Kemper: Yes. I don’t think we’re really prepared to disclose that for various sundry reasons. But, it is one credit. And as we mentioned in the comments, we expect it to resolve itself favorably.
Operator: We have no further questions. I’ll now hand back to the management team for closing remarks.
Kay Gregory: All right. Well, thank you for joining us this morning. We appreciate your time and your interest. The recording replay will be on the website shortly. And if you have any follow-up calls, you may reach us at 816-860-7106. Thank you.
Operator: Today’s call has now concluded. We’d like to thank you for your participation. You may now disconnect your lines.